Operator: Good morning, everyone, and welcome to Geodrill's First Quarter 2025 Financial Results Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up for questions. [Operator Instructions]. I would like to remind everyone that this conference call is being recorded today, May 12th, 2025. Before we begin, certain statements made on today's call by management may be forward-looking in nature and as such are subject to various risks and uncertainties. Please refer to the company's press release and MD&A for more details on these risks and uncertainties. I will now turn the call over to Mr. Dave Harper, President and CEO of Geodrill. Please go ahead.
Dave Harper: Thank you, operator, and good morning, everyone. Welcome to Geodrill's Q1 2025 financial results call. Joining me on the call today is our Chief Financial Officer, Greg Borsk. During the first quarter, we achieved outstanding results, setting new records for revenue and for EBITDA. These numbers are a testament to the strength of our strategy, which is working well, evidently, as these results do speak for themselves. Indeed, today's positive report card is the direct result of operational and repositioning efforts undertaken during '23-'24. The foundation built then is driving our exceptional financial performance today. To recap, high level, so Greg Borsk will speak to these in more detail later. We achieved record revenue, surpassing all historical benchmarks, which included two record-breaking months, one after the other, being February and March. EBITDA was also a record, a substantial, over 100% year-over-year improver. Also, earnings per share, $0.12 year-over-year, plus 160% improver, just $0.01 shy of our previous record. These results significantly improved the balance sheet, also resulting in total shareholder equity of $125 million, another year-over-year improver, 11% year-over-year improver. Our strategy is all about balancing opportunity with risk and execution to ultimately deliver exceptional returns. Recall, key adjustments to our operating model were implemented over the past year, which were considered necessary in order to ensure the sustainability of the business. And it is pleasing that these adjustments are now fueling the momentum and validating our approach. Just to recap, these adjustments included building a diverse client portfolio of well-funded, top-tier mining companies in safe jurisdictions, effectively mitigating the risk. This strategic move has expanded into new markets and enhanced our resilience. One of the most significant achievements has been securing multi-rig contracts across both our core markets in West Africa and expanded markets of Egypt and South America. These contracts have substantially boosted our revenue visibility for the next three to five years, demonstrating our commitment to financial stability and, importantly, over the past year, we've made strategic expansion into the South American market, increasing our operations to meet growing demand. Thanks to our focused execution, we are now reaping the rewards of that investment and expect continued revenue growth from this key region. These accomplishments position us for continued growth and reinforce our ability to deliver sustained value for our investors. Our team's execution and commitment have been instrumental in driving our success, but it is also important to acknowledge the tailwinds of the strong commodity prices environment. Market conditions have amplified demand, creating a background where our positioning allows us to maximize opportunities. The synergy between strategy and favourable markets dynamics continues to propel our growth. Finally, it is important to say we are insulated from the effects of tariffs turmoil, ensuring stability and predictability in our operations. I'll now turn the call over to Greg Borsk, CFO, who will review our financial performance in detail. Thank you, Greg.
Greg Borsk : Thank you, Dave. I am pleased to report the financial performance for the first quarter of 2025. The company generated record revenue of $48.8 million for Q1 2025, an increase of $14.1 million or 41% when compared to $34.7 million for Q1 2024. The increase in revenue is the result of the increase in demand for Geodrill's drilling services and a robust gold price, as the majority of our clients are exploring for gold. The gross profit for Q1 2025 was $13.6 million, being 28% of revenue compared to a gross profit of $7.4 million or 21% of revenue for Q1 2024. We were able to considerably increase our gross margin, despite inflationary pressures facing the mining sector and mining service providers. EBITDA for Q1 2025 was $13.6 million or 28% of revenue, compared to only $6.7 million, or 19% of revenue, for Q1 2024. The net income for Q1 2025 was $5.6 million, or $0.12 per share, compared to a net income of $2.1 million for Q1 2024, or $0.04 per share. In Q1 2025, we were able to increase the rig fleet, ending the quarter with 98 drill rigs. Building on Dave's comments, the record-high revenue is fundamentally driven by two key factors. Our multi-rig, multi-year contracts and record-high gold prices. Multi-rig, multi-year contracts have been instrumental in boosting our financial performance, and with robust global exploration spending, we are well-positioned for fiscal 2025. At this point, I will turn the call back to Dave.
Dave Harper : Thank you, Greg. As we move forward, focus and adaptability remain at the heart of our strategy. The mining industry and the capital markets are constantly evolving, shaped by shifting regulations and economic pressures. To stay ahead, we are proactively navigating these changes while capitalizing on emerging opportunities. Our outlook for 2025 is exceptionally strong. We are still actively pursuing new contracts in high-potential geographic regions, paving the way for the next phase of growth. The synergy between our strategic long-term agreements and the booming commodities market positions us for sustained expansion, revenue growth, and operational success. And this concludes our prepared remarks on our financial results. I'll now pass back to the operator for anyone who has a question. Thank you.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] The first question comes from Donangelo Volpe at Beacon Securities. Please go ahead.
Donangelo Volpe: Congratulations on the strong results. Just looking for a breakdown on the growth you guys are seeing by geography right now. I know we had some new contracts come in in West Africa and South America. Just trying to pinpoint the strongest points, the strongest areas of growth you guys are seeing.
Dave Harper: All over, really, at the moment, Donny. Gold is exceptionally strong, has been since Liberation Day. It was doing very well before then, and so you can imagine if it averaged $2,700 through quarter 3, I believe that's the number, and now it's hovering around $3,300, or it's off a bit today, I think, but even at $3,200, it's up $500 on its average from last quarter. And so strong gold, that'll do it all the time, every time. We operate, we're very strong in West Africa, strong, and we're getting stronger and bigger and more robust in Egypt. So those are essentially our gold markets. But then copper's doing very well as well. And so, our South American business is actually probably where most of our growth is coming from. But really, it's a bit of both. It's a bit of both.
Greg Borsk: Yeah, Donny, let me just add, 41% quarter-on-quarter revenue increase. It was exceptional. And what Dave's saying, to get that, to achieve that, it has to come from every region we're in. So, our primary markets in West Africa, in each of those three countries, top line grew significantly. In Egypt, grew significantly. And in South America, it also grew. So, it's across the board. It's related to gold, and it's also related to other commodities. So very, very strong Q1 for us here.
Dave Harper : Actually, just to jump in there, Greg mentioned a 41% Q over Q increase. Actually, the Q over Q was 47%. It was 41% year over year. So that just really is a strong indication of the momentum when you get a such, it's good to have a solid quarter over quarter -- I'm sorry, year over year. But when you have an even more solid Q over Q, that really tells us something about the momentum.
Donangelo Volpe: Okay. Thanks for the color. Appreciate that. I guess just since we were talking about the 41% year-over-year growth, on the last earnings call, we kind of talked about being happy at a 10% to 15% year-over-year growth for the year, kind of in line with the historical growth rates you guys have seen. Were there any outliers for this quarter as to why year-over-year growth was so strong? Or should we kind of anticipate a bit more accelerated growth from what we've seen throughout the historical performance?
Dave Harper : Well, the problem with doing a 40% year-over-year improver is everybody wants you to do it again. And I think you're asking what quarter two is looking like. As you know, we don't give guidance, but happy to say at this point in time, I think that at this point in time, it's probably going to be Q over Q flat for the year-over-year improver. Remembering that, our quarter two last year was a record. The previous record to quarter one 2025, top line, was quarter two 2024. So, for us to match it and beat it, as I say, it'll be, we've just put in a very, very solid quarter. I'm expecting at this point, we're probably looking at something flat, maybe a slight improvement, but it'll more or less be in the same zip code. In terms of a year-over-year improver, I think you can definitely, we'll definitely be looking at a year-over-year improver, yeah, for sure.
Greg Borsk : And Donny, if you do remember, we had a very slow start to Q1 2024. We weren't really ramping up Q1 2024 to the end of that quarter. So, it is a 41% increase quarter to quarter, but the base was, I think it was around $30 million, $34 million, $35 million. So, to get it up this year to where we are at 48.8%, it is 41%, but the comparable was on the lower. We had a slower start to 2024. Q1 was slower than Q2 2024.
Donangelo Volpe: And then final one, if I may. Just curious on the commodity mix for the quarter, revenue by commodity.
Greg Borsk : It's still predominantly, we drill for gold, and I think we communicate this almost every call. It's the geography of where we're drilling. West Africa is predominantly all gold, where we're drilling in other parts of Africa. Where we're seeing drilling for copper, et cetera, is in South America. So, the mix for us is still very heavily weighted towards drilling for gold.
Dave Harper : 90% coal tile gold and 10% is for copper. I think we put that in the MD&A, actually, Donny.
Donangelo Volpe: Yeah, I saw 90% and 95%. I just wanted to kind of circle in on exactly which one.
Dave Harper : It's going to improve a bit as we move forward because what's happening is we've got more rigs going into the copper region, but they haven't really started to produce yet. So, copper will become a bigger piece of what we're doing. But to what extent, we're not 100% sure just yet.
Operator: The next question comes from Mark Gomes at Gomes Pipeline. Please go ahead.
Mark Gomes : Good morning. Congratulations, guys. Great to see how your decision-making and sacrifices in '23 are paying off so well. Looking at drill demand in the marketplace versus your fleet size and drill availability in the marketplace, how would you characterize how that looks right now relative to your demand and hopes to further increase your rig count?
Dave Harper : So, I think you'll see that, we actually quoted our rig utilization there at 75% versus 65% a year ago. 75% of your information is more or less 100%. Mark, what never happens is you never get 100% of the fleet spending. And that's because usually there's -- there's some rigs in the workshop or there's some rigs stuck in customs or mobilizing to a job or something. So, we are effectively when and when we -- when we quoted that number, we're talking about the average that was achieved for the quarter. There were some months in the quarter where we actually achieved north of 80%, I think, 81% and 93%. And I think January was the quiet -- was the quieter of the three months. So, we're at effectively 100% utilization. I mean, it's the highest price in the industry globally at the moment on a percentage basis. We will continue as we have always. The history has been that from cash generated from operations, we add rigs, we grow revenues, we continue to grow the profit. And that whilst the demand is there and if anything, it's increasing, I think that pattern is just going to continue until at some point in time, we decide we've got enough rigs and we make that decision. Well, maybe we'll start backing off on the regrowth and just turn Geodrill into a cash generator. And that time is actually coming, something that we talk about all the time at these Board meetings. And it's coming and it's coming soon. But for the moment, we're just in a very, very strong environment and there's enormous amount of demand. And we've got to keep our customers satisfied too, so in part what we're doing is largely defensive as well.
Greg Borsk : And just, Mark, that utilization, the 75%, that's the group number, but behind that, we are busy in each region. And that kind of echoes the answer I gave on the revenue. The utilization and the revenue go hand in hand. So, there's demand for our rigs in every country where we're operating. So, it's a good problem to have in Q2 also. Very busy.
Mark Gomes: And I took note of that 75% number and do consider that to be effectively 100% in terms of what is possible, which leads me to ask, how does it look out there in terms of your ability to acquire more rigs? Is it a tight environment to find more rigs out there? I noticed that you are leasing one. How does that look?
Dave Harper : Well, it's improving. I mean, we were leasing three and now we're leasing one, and that's because the iron rigs are coming to come. We're able to replace the leased rigs with our own. And rigs are still available, and we're still building rigs in our workshop. And where there's a will, there's a way. There's a rig manufacturing industry out there, and we actually have additional rigs in the pipeline as we speak, actually, Mark. We're going to, somewhere in the not-too-distant future, we'll be reporting that we've got north of 100 rigs. So, it's a work in progress.
Mark Gomes: Any sense as to where you'd like to take that number this year?
Dave Harper : Not at this point. I've got no idea. Too many variables in there. The manufacturers can let us down. I mean, at the moment, we've done pretty well. We ended last year with 84 rigs or we started last year with 84 rigs, and here we are with 98 rigs. I mean, we're considering all of this growth is organic and funded from cash generated from operations, it's as good as it's going to get. But I wouldn't like to put a hard number against it and knowing that there's just too many variables out there. We'll be north of 100, I imagine this year.
Greg Borsk : Yeah, and Mark, we do that, as you know, we're able to do that from cash flow from operations. For the last, as long as I can remember, anything we generate, any cash, we put right back into PPE. And as long as there's client demand, if we're at full utilization and there's a need with our Tier 1 customers or with some of our other accounts, if they're looking for more rigs, we're very fortunate in that we're also able to manufacture rigs. So, between our workshop, between rig suppliers in the different countries where we're operating in, so far, we've been able to deliver and keep our customers happy.
Operator: The next question comes from Kris Tuttle at Blue Caterpillar. Please go ahead.
Kris Tuttle : Thank you, taking my question. And I echo Mark's congratulations. A couple of questions for you. One is just on the receivables, kind of just looking at that line versus last year, seems higher. I mean, it's not aged receivables, but I'm just curious if that has big portions of that have been collected or that's kind of the new run rate. Want some insight on that?
Greg Borsk : Yeah, a good question mark. The receivables that they're really a reflection of how busy we were in the back half of the quarter, predominantly February and March. As Dave said, usually January, it takes a little bit of time to ramp up. So, by the time we hit March, if not early April, most of the January receivables have been collected. So, you're seeing that the 30-day to 60-day receivables that you're seeing at March 31, those are kind of current receivables and they're reflecting how busy we were in February and March. And then what we try to do just to give comfort as we, we break down the aging of those receivables. So out of the $49 million, almost $50 million in receivables, very little are aged over 90 days this quarter. And that's a function of shifting the business, shifting the business over the last couple of years towards Tier 1 minors and just people with the ability to pay their receivables on time, which helps us. But naturally the -- our Q1 and Q2 are the busy quarters. So, the receivables do ramp up Q1 and Q2. Okay?
Kris Tuttle : Okay, yeah, got it. I did see the in the longer, the consolidated statements. So, makes sense. My second question is just so, great results. And I do the math kind of looking at the current margins and a sustainable business. And correct me if I'm wrong, but it seems like you're going to be in a position to have a considerable amount of free cash flow, perhaps in excess of what you need. And I'm wondering, like, what's your attitude around using that capital either for dividends or buybacks or am I missing the opportunity to maybe make more investments than I'm aware of? Just wanted to get your thinking on that now that you guys have, have hit such a...
Dave Harper : I'm glad you asked that question, Kris, because you're actually talking to the largest shareholder here. So, yeah, look, we have this conversation all the time, what point do we have enough REITs, and at what point should we start backing off on the growth? Firstly, we've never had any free cash since inception, since 1998, when we started with one REIT and one contract. This has been a 100% growth, organic growth story. But I'm a big believer in at some point in time, we've got to -- we've got to sort of encash that opportunity that comes from all that revenue. So, if you look at our operating cash that we spin off, we spin off about 15%, then usually all of that goes back into CapEx, and half of that is expansionary CapEx, and the other half is recurring CapEx. So, if we were to back off on that expansionary CapEx at a point in time, it would give us the opportunity to, one, dividends, shore up the balance sheet by putting a bit of cash there and buy some stock back. So, we plan to do all of those, those three things on balance, and that will tick everybody's box, because not everybody wants dividends, not everybody wants buybacks. So, how do you keep everyone happy? And I think the approach is just a balanced approach, a little bit of everything. The first thing we would like to see is just some cash on the balance sheet. We could also retire some debt. We've got debt on the books, and that's expensive debt. We paid 10 odd percent, which is expensive by Western standards, and so we certainly plan to do that. Times are coming. I think the first thing that we want to do is just hit that milestone of 100 rigs and then figure out how many more rigs do we want to go, or at what point in time should we maybe change the paradigm in terms of what companies do is they just grow, grow, grow, grow and then get bought. Thinking about it another way, you could just turn this thing into a cash-generating business and reward the shareholders that we've had on the books for so long. And I'm very much in favor of that. So great that you're asking the question. I just can't give you a definitive answer on that today, other than we are continuing to, and we will continue to spit out operating cash, and at a point in time, we will start to back off on the expansion re-CapEx and reward the shareholders somehow.
Greg Borsk : And Kris, the other way to look at it, you look at the balance sheet, the total balance sheet. We have $125 million in total equity, and the different buckets, they shift. So usually in Q1, a lot of that total equity, if you will, is tied up in receivables. And then as naturally through Q2, Q3, Q4, that shifts into more cash, et cetera. So, I think in Q1, Q2, we just make sure we're continuing to add total equity and then it'll work its way out into more liquid current assets in Q3 and Q4. And I think the other point to make is just that it's significant. We've been increasing the total equity quarter over quarter. So, if you look at where we are now, the total equity, $125 million, we're still trading at less than our book value. Okay? The book value, if you take the shares divided by the total equity, our book value is about CAD3.80. So, we're still, despite record revenue, $0.12 in earnings. We did $0.12 in earnings in Q1. Last year, for the whole year, we only did $0.20 in earnings. So, we're about 60% of the way there through Q1. But as I said, that money, because we're extremely busy, it's kind of in different buckets where it has to work its way into the cash bucket. Okay?
Operator: The next question comes from Dave Kegler, an investor. Please go ahead.
Unidentified Analyst: Just a quick question. I believe a few quarters back, you were issued shares by a company that you had done some work for in lieu of cash. Can you tell me what you've done with those shares? Are you able to share anything, if they've been cashed, or if you still hold them?
Greg Borsk : Yeah, they're still on the balance sheet. And it's not just one. What we do is we have a portfolio of investments. It shows up in the balance sheet under a strange name. It's financial assets at fair value through profit and loss. But we have a note on that, it's really just equity investments that we've had over the years. And depending on, we look at a number of factors, we look at the underlying company that we're invested on, is there liquidity, are we able to sell some of this, et cetera. And in the quarter, in the quarter, that number actually increased for us. So, we went from about $6.5 million up to $6.7 million. So that portfolio increased in value, and we were also able to get off some of the underlying equity. And that helps us that that's able to turn the equity investments into cash. So, it's -- hopefully I'm explaining, it's kind of a long-term process as to when does it make sense to exit these investments, et cetera, and when does the market actually allow us to do it. So, we're always kind of selling these when it makes sense.
Operator: The next question comes from George Melas at MKH Management. Please go ahead.
George Melas : Thank you. Congratulations, gentlemen. You mentioned quite a bit the multi-rate contracts in your prepared remark. Is there -- can you give us some sense of what percentage of your revenue is made up of these? I mean, I guess it's not binary, and it's but it's not exact, but maybe how many of your revenue is from this kind of contracts and also how that varies by geography?
Dave Harper : Sure. So, we break out -- when we're doing our budgets, we break out revenues and potential revenues into what we have and what we have to find. And in the have bucket, through known contracts, it's currently about 60%. And the other 40% will come by way of just general inquiries. So, in terms of known revenues, we're in the sort of 60% quartile.
George Melas : Does that mean that you start the year with 60% visibility into your...?
Dave Harper : No, because that 40%, we actually start the year with 100%, because the order book has contracts in that 40% quartile come off, other ones come on. And so, you've got to have a percentage of the fleet available on the fleet, if you can imagine, if it were a taxi rank, you'd have to have some rigs on the cab rank ready to go. Otherwise, you wouldn't be able to service that part of your business. So, it helps us to know what our known revenues are going to be. But we also have to keep some availability so that for walk-ins, if you will.
George Melas : Got it. Does that vary by region? Because some regions you've been very established for 20 years. And of course, in South America, you quite knew.
Dave Harper : I'm talking averagely here. Like if we look at South America, at the moment, we have zero, like 100% utilization of the fleet. Every rig we have in the fleet, at least in one of the South American regions, is 100% utilized. And in the other region where we're in South America, we're actually committed, just waiting to get through some community issues. And those rigs will be out in the rigs spinning. So South America's, the division is actually running at about 100%. Other parts of Ivory Coast at the moment, for instance, we don't have a spare rig there, but I just like to talk in averages because the company is not just one region, it operates across two continents and six countries.
Greg Borsk : And what these multi-rig, multi-year contracts, what they allow us to do is, because it's such a capital-intensive business, it allows us to plan. And so, if we have a two- or three-year contract and we know it's going to be significant amount of meters over that time period, we're able to better position and better plan in that region. So really, they're key to leveraging that region or that country and they're kind of the staple, the base which we can then continue to grow on. So very important for the business and it's a nice way of saying a really big contract. It's multi-rigs, which is numerous rigs and it's usually over multi-year. So, it's a significant management opportunity for us to actually take that contract, make sure we're executing on it, but to also build around it to kind of leverage that contract.
Dave Harper : The thing about the multi-rig, multi-rig contract, multi-year contract [Technical difficulty] there's some left field event that we're not aware of like a market capitulation or a commodity capitulation. But all things being equal, we can look at these and we can do our forecasting and we can plan.
George Melas : And maybe one more question. In West Africa, you've been there for a very long time. So, I understand well how you have a great position. In South America, you're very new, yet you do extremely well. I mean, probably more than extremely well. How do you explain that? Well, how do you explain your success in a new geography? And I imagine it's new customers, but I'm not sure. Maybe there's some overlap, but I doubt it.
Dave Harper : The thing that caught my attention when I was in South America and what drove our thinking that we should expand into the South American continent is that when we arrived in, well, if we follow our history, we saw a massive opportunity in West Africa when I started the business 26 years ago. And that was that the region was massively underserviced. I actually was at the same time thinking of expanding. I actually had at that time almost moved into South America instead of Africa, but I chose Africa and I'm glad that I did. The point is I visited South America more than 20 years later and nothing in South America had changed. The same opportunity was still there and I saw that the same opportunity existed because I felt that the region was still very underserviced. And so, when we expanded into South America, it was on the strength of relationships that we had forged out of West Africa. Basically, geologists and exploration companies that had operated in West Africa had morphed into international companies operating across two continents, the other continent being South America. So, it was a congenial thing that we could just jump from a customer that we'd operated for in West Africa who we had history with that we're happy to try and use our services in South America. Two friends tell two friends who tell two friends, and before you know it, you've got businesses going very well. So, I think that Geodrill does a lot of things in a good way. And I think that the thing for us now is to try and mirror that same success that we've had in West Africa, and if we can do that and be as successful in South America, then effectively what we're looking at is the doubling of the business.
Operator: [Operator Instructions]. Next question is a follow-up from Mark Gomes at Gomes Pipeline. Please go ahead.
Mark Gomes : I forgot to follow-up. With regard to the environment for obtaining drills, for the typical kind of drill that you guys are buying, what is the market, the going rate for new drills there?
Dave Harper : There's just -- there's no one-off answer for that, Mark. It depends on the type of drill. There's rigs that cost $500,000, there's rigs that cost $2 million, it just depends on the application. But I'd say, look, on average, if you were to put an average against what does a rig cost, I'd say, averagely, you're looking at about $1 million, and then you, it doesn't only stop with the rig, you've got all the support equipment and everything that goes with it, so you can almost add 50% to that again. I'm talking U.S. dollars, but that's, again, that's just a very average number. We've got rigs in our fleet that cost more than $2 million, and we've got rigs that cost $500,000, but they're all -- they're all different applications. It just depends on the demand, and the demand drives our thinking in terms of what we buy.
Mark Gomes : I was looking for a ballpark average, that's a good number, and that would be consistent with, you're kind of looking at your fleet as being average, and you're just kind of looking to further validate your book value.
Dave Harper : Our book value is massively, massively understated, Mark. If I was to look at replacing these rigs with rig values today, and have to go and buy these 98 rigs from a rig supplier, I'd reckon I'd be paying 50% above the odds, above what we've got these rigs. These rigs have historical depreciation rates that have accounting practices and depreciation rates that have applied per accounting standards, and the market value of the rig changes. We can't just change that because it suits us to do so.
Mark Gomes : Yeah, and in the meantime, you do invest in keeping them tip-top.
Dave Harper : Of course.
Greg Borsk : Yeah, exactly.
Dave Harper : Of course, we do that, but the interesting thing is, because of the sudden demand that we've been faced with recently, we had to go to market and actually buy rigs from suppliers and have to buy some couple of second, late-model, second-hand rigs that were in the market, and we're shocked how expensive they are. Shocked. So, it really validates my point that when we look at the hard book value of this company, which today is, what's our hard book value?
Greg Borsk : The total equity is $175.
Dave Harper : Forget the total equity. If we would just look on a share price basis, we're looking at Canadian shares, I think. Canadian share price. I've got it here, actually…
Greg Borsk : Yeah, CAD3.80. And Mark...
Dave Harper : Our hard book value is CAD3.80, and we trade at a discount to that, even if, even though after today's good stonking financial results. I don't mind using that word, stonking, because these results were nothing short of stonking. And even with that, we are still trading under our hard book replacement value, and that's not the market value. The market value of these rigs would be far greater, okay? When you think of hard book values, you think of closing down sales, you think of a ghost town, you think of a western, there's a tumbleweed, there's a saloon door that's opening and closing and you can hear it creaking because it's a ghost town and there's a rattlesnake that runs under one of the rigs and this thing's just all parked up because there's no drilling going on. Well, nothing could be further from the truth. This is a real going concern. We don't have one spare rig in the fleet at the moment, and this is a 24/7, 365-day-a-year revenue-generating business that spits out very, very good returns for its shareholders and yet we trade at less than one year's revenue. If we look at our market valuation, we traded under one year's 1x revenue. We traded about 2 times EBITDA, and we're trading at a discount to our book. I mean, it just doesn't make any sense. There's deep, deep value in this story. I've said this for a long time, and I will continue to say it. This is a very, very overlooked story.
Greg Borsk : I was just going to say, we do disclose the carrying value of the rigs, so there's a table in the notes to the financials. It's about $43 million. Call it 98, 100 rigs. So, it just really emphasized Dave's point that the book value, because of the depreciation, the average rig book value is about $430,000, and it just shows you how much of a discount that is to reality to get a replacement rig.
Mark Gomes : Exactly the point I was getting at.
Dave Harper : Deep value on the back of a very strong earning story.
Operator: The next question comes from Jesus Sanchez at Castanar Investment. Please go ahead.
Jesus Sanchez : Thank you very much, and congratulations for the great quarter. A couple of questions from my side. You were mentioning, and you are totally right about it, that we are totally undervalued. Why do you think that our performance has not gone in line with the gold price? Because gold price has been raising for the last month, although our stock price is not. Is it because we are not listed correctly or we are not considered part of the gold mining companies?
Dave Harper : If you look at our financial performance and our rig utilization, there's a nice correlation actually to the gold price. So as gold goes up, utilization goes up and revenues go up in lockstep. Actually, I would argue with you, as you said, our share price performance over the last year has actually been quite solid. If you look and you mapped up Geodrill, GEO.TO and looked at how it performed against the S&P last year, it outperformed the S&P. It outperformed gold ETFs. So, it actually did quite well. However, in my same breath, I would say that we are fundamentally still very undervalued. There are very few stories out there where you can buy cash-generating businesses that provide good returns in stable solid markets, we do operate in West Africa. Yes, I get that, but Africa is made up of 54 countries, and we operate in the best four countries in Africa, and in those countries, they produce gold, and that's why we operate in Africa. We don't actually necessarily operate there by choice. We get we operate there because that's where the gold is. And if the gold was in Ukraine or with it was in Brazil or whether it was in Mexico, that's where we would probably be drilling. We just happen to be in West Africa. And so, I would argue with you that, I think our share price has performed reasonably well relative to market and relative to our sector. If you compare us against all the other drillers, we've actually done pretty well this year. However, we could definitely do better, and I was just highlighting the point there before, where can you buy a cash-generating profitable company with good fundamentals that trades at less than 1x revenue? You're just not going to find them. And this is a real -- this is a derivative of gold. If you want to play gold, which is a pretty, pretty smart thing to be playing at the moment, with all the turmoil in the world at the moment with concerns about currencies and trade wars and tariffs turmoil's, one safe haven that seems to be doing very well as gold, but how do you play gold? How do you invest in gold? Do you go and buy a big ball bar of gold and take it and put it in your site? I need to find that your house cleaner or get the combination and run away with it. You can buy gold ETFs You can buy gold shares or play derivatives in Geodrill and companies like Geodrill, our picks and shovels. That's what we refer to them as, and all the picks and shovels. We are probably the best of the picks and shovels because we speak for the largest of the exploration budgets. Okay? Approximately 50% of all exploration budgets go to drillers, okay? So, from our point of view, the objective is to be the best driller out there. I hope that answers your question.
Jesus Sanchez : Yeah, I agree with you that last year performance was exceptional. Totally agree with you that it's unjustified the fundamentals. Totally agree with you that we are a derivative play and a very cheap, actually way of having to [Indiscernible] So, thank you for your perspective. That's why we are invested in Geodrill. Actually, my second question is about, what are you sensing in the market? You mentioned increased client demand. Well, I guess with this coal prices, mayors or other mining’s are increasing their CapEx is what you are listening in the industry?
Dave Harper : Yes, That's the short answer. Yes, very much.
Jesus Sanchez : And what about us? Are we going to increase our CapEx we added some rigs this quarter? What our plans for our future CapEx?
Dave Harper : We have we just had a really busy quarter with CapEx. We had a very busy matter record quarter last year with CapEx, and quarter two will more than likely be another record CapEx quarter. So, we're increasing our exploration CapEx expenditure in lockstep with demand. The demand is there, and so it makes perfectly good sense for us to continue to expand into an ever-increasing insatiable appetite for our services. Now, once that service or that demand starts to fall away, we'd like to be in a really strong position of having cash on the balance sheet and being able to, at that point, starting about making some returns to our loyal shareholders.
Greg Borsk : And just to add on, we're unique. We're fortunate to be able to continue to add to our CapEx, and that's because of the cash flow we generate from operations, plus we have facilities in place, term loans and credit lines, et cetera, where we're able to utilize those to actually add to CapEx if we need to. And not all of our competitors have that luxury. But Geodrill, because we're disciplined and we do this, we've been doing this for a long time. We're able to continue to add CapEx either through cash flow, or if we need, we can utilize the line.
Dave Harper : And that's something I love about Geodrill with the return on capital employed that you have. Yes, [indiscernible] everything in rigs. I just want to get the sense that we are going to continue in this place of three rigs per quarter, you trying even the demand, I'm happy with that.
Jesus Sanchez : Okay. Great. Thank you.
Operator: Thank you. We have no further questions. I will turn the call back over to management for closing comments.
Dave Harper: Thank you very much, everyone, for participating in today's call, and thanks for your great questions. Thank you very much.
Greg Borsk: Thank you.
Operator: Ladies and gentlemen, this concludes your conference for today. We thank you for participating, and we ask that you please disconnect your lines.